Operator: Greetings. And welcome to the Capstone Companies’ Second Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Craig Mychajluk, Investor Relations for Capstone. Thank you, sir. You may begin.
Craig Mychajluk: Thank you, and good morning, everyone. We appreciate your time and interest in Capstone Companies. On the call with me today are Stewart Wallach, Capstone's President and Chief Executive Officer; and Gerry McClinton, Capstone's Chief Financial Officer. As you are aware, we may make forward-looking statements during today’s presentation. These statements apply to future events, which are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in our earnings release, as well as in documents filed by the company with the Securities and Exchange Commission, which can be found at capstonecompaniesinc.com or at sec.gov. So, with that, I’ll turn the call to Stewart.
Stewart Wallach: Thank you, Craig, and good morning to everybody. I appreciate your time with us today. Before introducing Gerry McClinton to review the financial results, I’d like to take a moment to discuss a few points that have attributed to the financial results of Q2 2015. As stated during our year end 2014 webcast that took place on March 27, 2015, we had projected as early as Q3 in 2014 that our year end and Qs one and two would be significantly affected due to two particular circumstances. One was the reduction in promotional activity due to the West Coast port dispute, and two, our strategic decision to delay the introduction of product expansions under the Capstone brand. I want to point out and clarify that although we continue to vigorously support our Capstone brand today, at the time, we were negotiating the Hoover brand, which was Q3 2014. For our LED products there was a degree of uncertainty regarding the market acceptance of the Hoover brand and strategically, we slowed sales activity to avoid potential markdowns and inventory adjustments that may have resulted had a significant part of our market opted for the Hoover brand going forward. On a positive note, in furtherance to our strategic update teleconference that took place in February, we have completed the majority of the planned expansion of our product categories into LED bath vanity lighting, power failure bulbs, which incorporate our AC Kinetics technology, as well as the expansion of night lights and wireless motion sensor lighting programs. As such, we have reenergized our sales efforts, realigned our sales operations and planning, and are actively in this field presenting our exciting new products. Before the close of Q3, we are scheduled for a number of presentations, which I’ll personally be attending, including three of the largest retailers in North America for our new product introductions. More importantly, in addition to this looking forward perspective, subsequent to the Hardware Show in May, I am very pleased to confirm that we have built our backlog in excess of $7 million, which in simplest terms will translate to the resumption of strong Q3 sales. So we've taken a few steps backwards, as we strengthen our competitive position through product line expansions and the attainment of the second brand, which was in an effort to gain a larger share of the total LED market, which is expected to build to some $42 billion by 2019. At this point, I'd like to turn the call to Gerry to share a few details with you about our Q2 2015 financial results and then following his review, I will come back with the few closing comments and a question-and-answer session. Gerry?
Gerry McClinton: Thank you, Stewart, and good morning to everyone. As we review this report, we highly recommend that you also review the 10-K report for 2014. The company's financial results can fluctuate greatly from quarter-to-quarter, but the 10-K report reflects the full year performance and discusses our strategic plans for 2015. So let’s go straight into the report, net revenues for the three months ended June 30, 2015 and 2014, were approximately $290,000, compared to $1.2 million, respectively. For the six months ended June 30, 2015 and 2014, net revenues were approximately $1.1 million and $5.3 million, respectively. Revenues in the first six months of 2015 were impacted by two events by the reasons for the lower sales volume as compared to 2014. As referenced in our 10-K for the year ended December 31, 2014, the company was impacted by the West Coast ports dispute, which resulted in container delays from six to eight weeks. The result of these delays combined with the fact that the dispute wasn't resolved until February 20, 2015 created uncertainty with retailers as there were no assurances that arriving containers would be offloaded in the West Coast ports. This resulted in retailers deciding to cut back their promotional calendars, which impacted our first half shipments. During our February 2015 strategic update, the company announced that it had acquired the exclusive North American Trademark License for LED Lighting more than 100-year-old and trusted home electric brand, Hoover. As Stewart stated earlier, the company made a strategic decision that although it would continue to support the Capstone brand, the company would limit new retail replacement to reduce potential exposure to markdown allowances or inventory returns by retailers that would have prefer the branded Hoover product lines moving forward. This knowingly would result in revenue reductions in the first half of 2015. Cost of sales for the three months ended June 30, 2015 and 2014 were approximately $237,000 and $829,000 respectively. For the six months ended June 30, 2015 and 2014, cost of sales were approximately $643,000 and $3.6 million, respectively. The reduced cost of sales was result of the lower sales volume in the period. But overall manufacturing cost have remained steady in China during this period and continue to remain steady as we place orders for a heavy third quarter holiday business. Gross profit for the three months ended June 30, 2015 and 2014 was approximately $53,000 and $353,000 respectively. For the six months ended June 30, 2015 and 2014, gross profit was approximately $361,000 and $1.6 million respectively. Gross profit as a percentage of sales increased to 35.9% in the six-month period compared to 31.5% in the same period 2014. The higher gross profit percentage was approximately caused by the reversal of $197,000 of previously overestimated for most allowances that were not utilized by retailers. Total operating expenses for the three months ended June 30, 2015 and 2014 were approximately $701,000 and $709,000 respectively. For the six months ended June 30, 2015 and 2014, total operating expenses were approximately $1.4 million and $1.7 million respectively. The following is the summary of the major expense variances by category in the first half of 2015 compared to 2014. Sales and marketing expenses for the six months ended June 30, 2015 and 2014 were approximately $169,000 and 379 -- $374,000 respectively. With the lower sales volume in the first half 2015, the company did not provide advertising promotions for the period, which was the main reason for that expense reduction. Compensation for the six months ended June 30, 2015 and 2014 were approximately $693,000 and $670,000 respectively. Professional fees for the six months ended June 30, 2015 and 2014 were approximately $146,000 and $106,000 respectively. The higher expense is mainly the result of the company engaging the services of the sales operations consultant to support the U.S. after sales operation structuring and assisting in the development of the sales plan. Product development for the six months ended June 30, 2015 and 2014 was approximately $106.000 and $217,000 respectively. These expenses were reduced as most of the product development cost related to the new product launches were incurred in the prior year. Other general and administration for the six months ended June 30, 2015 and 2014 was approximately $248,000 and $287,000 respectively. Of this reduction, $22,000 was the result of reduced banking fees caused by the lowering -- the lower borrowing requirements. Net operating income loss for the three months ended June 30, 2015 and 2014, the operating loss was approximately $648,000 and $357,000 respectively. For the six months ended June 30, 2015, the operating loss was approximately $1 million compared to an operating income of $5,000 in the same period 2014. Interest expense for the three months ended June 30, 2015 and 2014 was approximately $57,000 and $52,000 respectively. The higher interest in the second quarter reflects the increased borrowing required to purchase components for third quarter orders. For the six months ended June 30, 2015 and 2014, interest expenses were $94,000 and $154,000 respectively. The lower interest in the first half of 2015 is result of old loans that were paid off last year and with the reduced revenue in the period, the need for purchase order funding earlier in the year results were reduced and as a result reduced loan interest. Net income loss for the three months ended June 30, 2015, the company had a net loss of approximately $705,000 as compared to a net loss for the same period of $413,000. For the six months ended June 30, 2015, the company had a net loss of approximately $1.1 million as compared to a net loss of $153,000 in the same period 2014. The overall net loss was a result of lower sales volume in the period. As referenced previously, the impact of the port strike is now behind us as confirmed by our third quarter shipping backlog of between $7 million to $8 million. Now, let’s discuss cash activities. Our borrowing capacity with Sterling National Bank, funding support from directors and cash flow from operations provides us with a financial resources needed to run our operations and reinvest in our business. To fund the development expansion, marketing and inventory of the new product lines, as well as sustaining operations at the lower business volumes, the company may require additional working capital during this development phase. During the quarter, the company's Chief Executive Officer and Director, Stewart Wallach and Company Director, Dr. Jeffrey Postal provided additional temporary funding of $500,000 to supplement funding shortfalls during this phase. Operating activities: In the first half of 2015, cash used in operating activities was $1.7 million compared with approximately $4.8 million provided by operating activities in the same period 2014. During the period, the company has funded $1.3 million in prepaid expenses for materials and components for third quarter orders and also used $228,000 to further reduce accounts payable. Investing activities: Cash used in investing activities in the first half of 2015 was $37,000 compared to $23,000 in the same period 2014. Financing activities: For the six months ending June 30, 2015, cash provided by financing activities was $2.2 million as compared to $4.7 million being used in the same period 2014. The company's liquidity is expected to be sufficient through 2015, resulting from the combination of our existing cash position, improved operational cash flow, as a result of improvements to our operating results, the company's borrowing capacity with Sterling Bank and as needed funding support from Company Directors. As of June 30, 2015, the company was in full compliance with all of the covenants, pursuing to the existing credit facilities. This concludes my financial summary for the second quarter and first half 2015. I'll now turn the call back to Stewart.
Stewart Wallach: Thank you, Gerry. And I’m glad that first half is now behind us. Although we enter Q3 with a very strong backlog and revenue performance is projected upwards of $7 million in the same period, we can't at this time forecast whether we will receive the orders for our new products with shipped dates of Q4, or whether they will fall into Q1 2016. Either way, we are pleased with the feedback we are receiving from the buying community and our sales representation. We believe our strategy to gain a larger portion of the overall LED business is working. Accessibility to the buying staffs has greatened through the expansion of our product lines. We are now calling on three to four different departments at retail and this is opening several new doors for us. The critical component for our success in these new departments is our innovation. Our entry into bath vanity lighting for instance is a significant step. And we are introducing features that have never been available in vanity lights before. The details of our products appear on our website and I welcome you to visit to get a better idea of Capstone’s approach to these categories. Updates are continually being put up and as product developments are completed. It has consistently been our goal to make a demonstrative difference in the categories in which we compete. This approach was used in the developments of our power failure products and was at the core of our early successes. We were the first to utilize induction charging in a handheld lighting product and at the same time, introducing style and design into utility lighting categories. And most significantly, we were one of the first companies to utilize LEDs in our handheld power failure lighting programs. We are bullish on 2016. We took several bold steps to the end of 2014 and the first half of 2015 in our marketing strategies and we believe these will deliver us to our desired market long-term position. We will not only be selling into several different departments but keep in mind at the same time, we are now going to be selling more upscale products at higher selling prices. This not only benefits Capstone and its growth objectives, but also allows us to generate more dollars for our retail partners, making us a more important and integral part of their respective retail strategies. I trust you have found today's webcast transparent and that you now have a better idea about why we were somewhat quiet during the first half of 2015. Very simply, we had a great deal of work to do and I'm proud to say that your Capstone associates rose to the challenges. Again in conclusion, our expanded product lines were key to making our future growth objectives -- to meeting our future growth objectives. This required a great deal of investment and focus by our entire organization. Stepping back on the sales effort was also a very bold move but we are now convinced it was the right decision. To our long time shareholders, I can't thank you enough for your continued loyalty and support. And to our new shareholders and prospective shareholders, it is an exciting time for our company and we look forward to reporting favorably in the months ahead. I thank you again for your time today. And now I believe Aimee, had you received some email and questions that have come in?
Q - Aimee Gaudet: Yes. They have.
Stewart Wallach: We see we are going to address some of these.
Aimee Gaudet: Okay.
Stewart Wallach: I think I believe you also wanted to let them know that they can call in.
Aimee Gaudet: Yes. And if anyone wanted to call in with questions, you can do so. But first, we will address the few that came in online. It seems that Capstone’s management has really been inundated in its product development phase. Does this take longer than anticipated? And is it truly behind you now?
Stewart Wallach: All right. Let me handle that. Yes, it’s true, we were inundated, but we accomplished what we accomplished with the limited human resource we had is something to be very proud off. The bulk of the product expansions have been completed, but we still have some work to do on the coach lighting category and adding additional styles to our bath vanity programs. The product development phase will never truly be behind us, because our business model is based on providing new and innovative products to the market continually. We will continue to invest in these efforts to keep Capstone’s innovative company image maintain and sustain our competitive edge. Keep in mind we are currently introducing more products to the market in 2015 than we had collectively in the past several years. We are no longer just in the power failure niche. Our current product lines will drive sales opportunities well into 2016.
Aimee Gaudet: Great. This second question comes to us from a shareholder and wondering about Capstone Hong Kong operations. It seems that overhead continue to rise and that overseas operations is costly. Can you comment on that?
Stewart Wallach: Go ahead, Gerry.
Gerry McClinton: Let me add. See we have invested in a company’s structure, particularly with our overseas operation that has and will allow us to source and develop and bring to market quicker new product categories. As recently seen when we launched the product category, the all the new categories at the International Hardware Show in May. Now I can tell you without that infrastructure and expense, those products would not have been realized. To that point, we have a very strong third quarter of shipments as a result of those product launches and the result of the initial investment we made to develop the overseas operations. Now we are very cognizant of the budgetary concerns and expense levels as it ultimately impacts the company’s operational cash flow, which is an area we keep very tight control of. Okay. Aimee, anything else?
Aimee Gaudet: Okay. Yes. I have a few more. I am glad to see that the backlog is back to normal and Q3 also seems is back on track. Do you see all that 2016 will be a strong year for us?
Gerry McClinton: All right. I will take care of this. 2016 will be the strongest year in the history of our company in my opinion. Not only are we manufacturing and distributing expanded product lines, but the actual selling cost of these products we’re offering are increasing substantially. As a point of reference, our products within the bath vanity lighting categories will range from $35 to $100 wholesale, whereas our average selling prices, prior to, were in the range of $8 to $10. And that is the price range we participated and competed into the last several years. With successful product placement, one can easily see the wholesale dollars will contribute to a far more rapid growth. So yes, I think we are on track and I feel the 2016 is going to be a banner year for us.
Aimee Gaudet: Actually just received a new question online regarding Hoover, are you guys in the position to comment on the progress of the Hoover brand?
Stewart Wallach: Yes, I am. It’s important to point out a couple things about our decision to move forward with Hoover. The Hoover brand decision was supported by a research study commission by us to evaluate the potential for the extension of the brand to LED products by a global company called Radius Global. The results were favorable on the extension. If my memory serves me well, I believe close to 70% if not more of the respondents stated they would in fact consider Hoover to purchase in the lighting category. It’s too early to determine with the great degree of certainly as to whether this branding initiative will simply complement the Capstone brand or nominate. Regardless at this point, if Hoover is not preferred, we are not in any way compromising the push of the Capstone brand. All presentations in the weeks and months ahead are introducing products that are available both in Capstone and Hoover branding.
Aimee Gaudet: And let’s take there is just a few that is like addressed, first one being, none of us are happy with the stock performance and I’m sure it’s equally frustrating for you as the single largest shareholder? Can you comment on the stock value? I would also like to say, it is promising to see you and Dr. Postal have retained a strong pull position even when the stock has periodically spiked over the past year. I guess even a stronger statement is that you contributed additional working capital for the company over the past few months. Your comments would be appreciated?
Stewart Wallach: Yes. I completely agree with you that the stock value is frustrating. But in light of the reduced revenues, which were expected in the first half of the year, it does not surprise me. My investment, both financial and time has always been with a long-term perspective. When we were not growing rapidly because our product lines were not delivering to expectations, we made some very bold decisions to jump into the bigger arena with expanded product lines with the new brand and with exclusive ventures with manufacturers I can tell you that companies our size simply don't do the things that we are doing, so supporting the company financially the past few months to sustain its operation during the down revenue period was quite frankly and easy decision for Dr. Postal and I to make. That being said, I think, we are positioned well now and I look forward to the stock values adjusting as they are driven by our future performance in the not-too-distant future. Once again, with the $7 million to $8 million backlog approaching Q3, we’re anticipating, I believe Gerry in the $7 million range of shipments.
Gerry McClinton: Yeah. Yeah.
Stewart Wallach: We are energized, focused and we remain determined to win.
Aimee Gaudet: Okay. Great. Thank you. Okay. This last question actually looks like it’s for Gerry. I have a great faith in management of the company, but I am not clear on the decision to cut back sales when the company acquired the Hoover brand. Can you elaborate on the point where you -- on mark downs in inventory return?
Gerry McClinton: An excellent question, keep in mind, this addresses the new products that were planned to be offered in both the Hoover and Capstone brands. Hoover is a powerful and iconic brand. We did not know for certain, if it without power or Capstone brand, and in fact, be preferred by retailers. If so, any inventories that were present in the retail marketplace on the shelves or in the warehouses, could potentially be subject to markdowns or stock returns to make room to the new Hoover product -- program. Markdowns or returns are very expenses, so management made a decision to introduce its newest products in both brands at the same time. In this way, we avoid the financial burdens associated with the discontinuance of one brand and preference with another. That’s all. I think that should answer that one.
Aimee Gaudet: Okay. Great. Thank you.
Stewart Wallach: So that’s everything we received by email.
Aimee Gaudet: Yes.
Stewart Wallach: Are there any call and inquiries?
Operator: [Operator Instructions] Thank you. We do have a question coming from the line of Dr. Michael Lavine, a private investor. Please proceed with your question.
Dr. Michael Lavine: First, I want to thank you so much for having this phone conference. As a shareholder, I really appreciate the ability for us to ask open-ended question, so thank you again. I have two questions, the first question I have is you’re referring to your schedule visits, the major retailers within the next few weeks? Would that be anticipation of trying to fill in for the holiday marketing season?
Stewart Wallach: This is Stewart Wallach speaking. Thanks for participating doctor. Yeah, the real issue is how fast they can respond. When I seem them going into see these retailers in the weeks ahead, it isn’t that they haven't seen much of what they're going to see again. We are going in for reviews to see if we can facilitate some seasonal Christmas business. It may or may not occur as quickly as we like. However, keep in mind, there is two things to consider here in your question, one is product available at retail for the seasonal period or product to get shift in the seasonal period. And this is really what I'm going to work toward. Business that they would be scheduling and developing doctor for the first quarter and sometimes even the second quarter of next year, those shipments could in fact take place in December. So although, it wouldn’t be on the shelf and the sale -- available-for-sale to the consumer in December, it would be considered seasonal business activity for us and be reflected in our Q4 numbers.
Dr. Michael Lavine: Great. And just as a follow-up. The follow-up through with the increased transparency, is it possible that press releases could be put out to, I guess, elaborate on the result of this sales visit?
Stewart Wallach: We have -- it’s a double-edge sword, doctor. Let me shift. Number one, there is always an issue relative to competition. I can tell you that we are always a company that's being watched. We are an antagonist in the market and keep in mind that we are attacking some of the largest brands in the industry. Also, our retail customers require us to retain all issues of confidentiality prior to a product hitting the shelf. This is actually part of our vendor agreements. So that's why you'll probably see in the past why we may reference product now available at a national warehouse club. It’s not because we're trying to be coyer than we wouldn’t love to be screaming from the rooftops and sharing this information. It’s that we simply cannot identify whether that would be Costco, Sam’s, BJ's, et cetera. So, PRs will be considered and utilized more frequently with material news that we expect to occur, particularly as it relates to new product development, for instance, placement, but more in a generic manner. We will not be able to identify the specifics accounts.
Dr. Michael Lavine: Okay. Then finally, can you clarify the difference between power control and power failure products?
Stewart Wallach: Yeah. Let me explain that. We invested sometime ago, actually 2013 in a company called A. C. Kinetics. Their MIT group, I would welcome you, if you are not familiar with them to take a look at our website and also take a look at their website and familiarize yourself, very bright capable group of people. We actually made an investment in that company in January, I believe 2013. Part of that investment was to receive advanced product development work. That was where we brought the concept of power control. Power failure is a very broad term. Power failure is any product that operates under power failure conditions, i.e., whether that would be a brownout, whether that would be a storm condition, what have you. Power control was a technology we developed for power failure products. Let me try to explain that to you. The power failure product is controlled by battery power. That is where your backup energy source comes from. And one of the shortcomings of power failure products was that they have limited run times because of course, batteries can only be so large and battery power is very expensive. We develop Capstone Power Control that actually allows the product a light above a fixture to work after switch just like it would under normal conditions in a power failure situation. So by doing that, by being able to turn them on and off, while you're in power failure conditions, we are conserving the battery power. So perfect example would be that possibly a light would be in a bathroom, and the bathroom is a frequently visited facility during power failure or any other time. So the visit in a bathroom might be three minutes. So whereas a general power failure product maybe on because of power failure conditions, a power failure product that incorporates our Capstone power control technology we could turn it off. So in essence, we’re only using it when we needed, and that significantly extends the life of the product. Is that -- was that probably more information than you needed?
Dr. Michael Lavine: All right.
Stewart Wallach: Okay. Anything else.
Dr. Michael Lavine: I don’t believe, sir.
Stewart Wallach: All right. Well, the numbers were sobering, but at same time they were expected. And this should now be behind us. The product development activities are completed. We will be expanding the lines and continue to add to the lines. But right now, we have our product strategies set and we have product that could yield significant opportunities well into 2016. So again, I thank you all for your support, your understanding. And I look forward to reporting more favorably in the months ahead. That will do it. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation. And you may disconnect your lines at this time.